Yves Cormier: Good morning, everyone. Thank you for joining this conference call on our First Quarter 2024 Trading Update. My name is Yves Cormier, Head of Investor Relations. Joining me today are Aegon’s CEO, Lard Friese; and CFO, Matt Rider, to take you through our results. After that, we will continue with the Q&A session. But, before we start, we would like to ask you to review our disclaimer on forward-looking statements, which you can find at the back of the presentation. And now, I would like to give the floor to Lard.
Lard Friese: Yes. Thank you, Yves, and good morning, everyone, and thank you for joining us today. I will start today’s presentation by running you through our strategic and commercial developments before handing over to Matt, to address our first quarter results in more detail. So, let’s all move to Slide #2 to review the highlights of the quarter. The beginning of the year was marked by continued commercial momentum in the U.S. and Brazil, as well as net inflows at our asset manager. In the first quarter of the year, we reported EUR256 million of operating capital generation and included seasonally higher mortality in the U.S. We remain on track to meet our guidance of around EUR1.1 billion for 2024. The capital ratios of our main units in the U.S. and the UK remain healthy and well above their respective operating levels. Furthermore, cash capital at the Holding amounts to EUR2 billion well above the operating level despite making good progress executing the EUR1.5 billion share buyback program. At the end of last week, we have completed 92% of this program. As we indicated earlier, we expect to complete the share buyback program by the end of June. Today, we are announcing a planned new share buyback program of EUR200 million, which we expect to start at the beginning of July and to complete by the end of 2024. Commercially, the first quarter of 2024 saw Aegon maintain commercial momentum. The UK Workplace business and our business in Brazil are performing well and we recorded net deposits in both segments of our asset manager. At the same time, we continue to see challenges in our UK retail business. The U.S. business again performed well. We continue to execute on our strategy to transform Transamerica into America’s leading middle market life insurance and retirement company while continuing to reduce exposure to financial assets. Before discussing the commercial results, I would like to address the changes we have made to segment reporting in order to better reflect Transamerica’s strategy and business model on Slide #3. We have decided to regroup Transamerica’s businesses from two to four business segments that are fully aligned with our strategy. To reflect the importance of the World Financial Group or WFG for our strategy, we have created the distribution business segment. The business segment Savings & Investments includes the asset-based businesses, retirement plans, mutual funds and stable value solutions. The third strategic assets business segment is Protection Solutions, which consists of the insurance products including indexed annuities. This is a central focus area for further growth in the U.S. middle market. Finally, all financial assets have now been grouped together in one reporting segment. This includes variable annuities, fixed annuities, including Single Premium Group Annuities, the legacy universal life book and long-term care. This re-segmentation provides more transparency on our growth areas while presenting the results of financial assets separately. Finally, the new business segments also take into account the applicable IFRS accounting standards with the insurance businesses included in Protection Solutions and Financial Assets and the non-insurance businesses grouped into Distribution and Savings & Investments. Let’s move now to Slide #4 to discuss the recent commercial performance. Starting with WFG, our ambition is to increase the number of WFG agents to 110,000 by 2027, while at the same time improving agent productivity. We remain on track with the number of licensed agents increasing by 13%, compared with the end of March last year to 76,000. Agent productivity also continues to improve. Thanks to the measures WFG has taken. The number of multi-ticket agents, which are agents selling more than one life policy over the last 12 months, increased by 12% compared with a year ago. Within the Savings & Investment segment, let me zoom in on our progress in mid-size retirement plans. Here, net deposits amounted to $1.2 billion in the first quarter of 2024, an increase compared to the same period of last year. Net deposits in the reporting period were amplified by a large full-plan sale that we wrote in the first quarter of last year. In this segment, we also recorded continued growth in ancillary products such as the General Account Stable Value product, as well as an individual retirement accounts. In each of these products now, $11 of assets are invested by our customers. In the Protection Solutions segment, we are investing in both product manufacturing capabilities and in the operating model in order to position the individual life insurance business for further growth. New life sales increased by 5%, largely driven by higher index universal life sales, partially offset by lower traditional life sales. WFG represented 71% of total Transamerica individual life sales in this quarter. And, we continue to write this business with attractive IRRs in excess of 12%. So, let’s move now to the United Kingdom on Slide #5. In the UK Workplace channel, we continue to see solid levels of inflows driven by new schemes and net deposits on existing schemes. Net deposits in the first quarter of 2024 amounted to £546 million and were slightly lower than the same period last year due to outflows related to the exit of a single-low margin scheme. In the retail channel, we continue to see net outflows as investor sentiment across the industry remains weak due to the macroeconomic environment. Annualized revenues lost in net deposits amounted to £5 million over the reporting period and this was driven by the gradual run-off of the traditional product portfolio and the net outflows into retail channel. Combined, these more than offset the revenues gained on net deposits in the Workplace channel. On Slide #6, I want to address the progress of the international segment with our joint ventures in China, Brazil and the Iberian Peninsula as well as the TLB businesses in Singapore and Hong Kong. New life sales decreased by 15% compared with the first quarter of 2024. While we recorded continued good growth in Brazil, this was more than offset by weaker sales in China and Spain. Non-life new premium production decreased by 12% with weaker demand in Spain. Operating capital generation in the international segment decreased by 23%, reflecting asset mix changes in China. So, let’s turn to Slide #7, to comment on our Asset Management business. The Global Platforms business reported net deposits of EUR2.6 billion in the first quarter of 2024, returning to positive net deposits after recurring net outflows over the last two years. Strong fund performance and a large contract win in our UK fixed income business drove that result. We also recorded good inflows in alternative fixed income products, one of our focus areas. In addition, the Global Platform segment is benefiting from the asset management partnership with ASR. In the Strategic Partnership segment, we also recorded positive net deposits over the reporting period amounting to EUR2.1 billion. This was especially driven by our Chinese joint venture AIFMC in part due to a successful collaboration with the consumer finance platform for money market fund. Operating capital generation increased by EUR26 million compared the first quarter of 2023 to EUR43 million in the first quarter of this year. This was a result of higher earnings, especially in AIFMC, our Chinese asset manager, which benefited from a one-time expense item. I will now hand over to Matt, to discuss the financial performance of Aegon in more detail, which starts on Slide #8.
Matthew J. Rider: Thank you, Lard, and good morning, everyone. Let me start with an overview of our financial performance over the last quarter on Slide 9. I want to start with operating capital generation before holding, funding and operating expenses, which amounted to EUR256 million in the first quarter of 2024. This is 12% lower than the same quarter of last year, mainly reflecting a one-time benefit in the release of required capital in the prior year period. Free cash flow amounted to EUR14 million during the reporting period, driven by remittances from our international business. Cash capital at the holding stood at EUR2 billion at the end of March 2024. The decrease compared with the balance at year-end 2023 was almost fully explained by the progress made during the period on the EUR1.5 billion share buyback program. Gross financial leverage was largely unchanged at EUR5.1 billion and remains at our target level of around EUR5 billion. On Slide 10, I want to talk about the capital ratios of our main operating units. The U.S. RBC ratio increased by nine percentage points compared to the end of 2023 to 441% and remains well above the operating level of 400%. Operating capital generation and market movements each contributed six percentage points to the ratio and more than offset a remittance from an operating company to an intermediate holding company. The favorable impact of market movements was primarily due to good equity markets. The solvency ratio of Scottish Equitable, our main legal entity in the UK, increased to 192% and is above the operating level. This reflects the positive impact from operating capital generation and some smaller favorable one-time items. Let’s now turn to Slide 11 to address operating capital generation in more detail. In the first quarter of 2024, operating capital generation before holding, funding and operating expenses amounted to EUR256 million, a decrease of 12% compared with the prior year period. Lower operating capital generation in the U.S. and international businesses was partly offset by an increase in Asset Management. Earnings on in-force decreased by 5%. Adverse underwriting experience in the UK and higher mortality in the U.S. were partly offset by one-time expense benefits in Asset Management and at Transamerica. The release of required capital was 25% lower following a one-time capital release in the U.S. in the first quarter of 2023. New business strain increased by 9%. Higher new business strain in the U.S. as a consequence of higher sales Individual Life and Retirement Plans. This is more than offset by lower levels of new business strain in the UK due to the impact of the sale of the protection book to Royal London and in China due to lower sales. With EUR256 million of operating capital generation from the units reflecting seasonal mortality in the U.S., we are on-track to meet our guidance for 2024 of around EUR1.1 billion. On Slide 12, I will elaborate on operating capital generation in our U.S. business. Over the first quarter of 2024, earnings on in-force in our U.S. businesses amounted to $285 million, an increase of 1% compared with the same period of last year. Earnings on in-force benefited from higher fee revenues in the Retirement Plans business as favorable equity markets increased account balances. Furthermore, earnings on in-force benefited from the favorable timing of expenses, which is expected to largely reverse over the remainder of the year. This is partly offset by unfavorable claims experienced in this quarter compared with the prior year period, mainly from some adverse mortality in the Protection Solutions segment. Earnings on in-force from our Financial Assets decreased compared with the same period of last year due to a lower lease of voluntary reserves in variable annuities. For the quarter overall, operating capital generation in Transamerica amounted to $165 million a decrease of 27% compared with the first quarter of 2023. This was driven by a lower release of required capital from a non-recurring release of capital in the prior year quarter and from higher new business strain in Individual Life and Retirement Plans as we grow our strategic assets. I will now turn to Slide 13 for an update on our Financial Assets. We are steadily progressing toward our goal of reducing capital employed in our Financial Assets to around $2.2 billion by the end of 2027. At the end of March 2024, capital employed decreased to $3.7 billion driven by favorable market impacts on variable annuities and the earlier expansion of the variable annuities dynamic hedge program to include the lapse in mortality margins of the riders. Operating capital generation from financial assets declined in comparison with the first quarter of 2023, driven by the decrease in earnings on in-force. In variable annuities over the first quarter of 2024, we achieved 99% hedge effectiveness. Annualized net outflows in the reporting period amounted to 9% of the account balance in-line with expectations as the book gradually runs-off. In fixed annuities, annualized net outflows as a percentage of the average account balance amounted to 11% as surrender and withdrawal rates increased, although they remain below our long-term best estimates. In long-term care, we have now obtained regulatory approvals for additional actuarially justified premium rate increases worth $335 million since the beginning of 2023. This represents 48% of the target that we announced at the Capital Markets Day. Claims experience continues to track well with assumptions with an actual to expected claim ratio that was mildly unfavorable at 102%. Regarding the universal life portfolio by 2027, Transamerica aims to have purchased 40% of the $7 billion face value of institutionally owned universal life policies that was in-force at the end of 2021. Progress remains steady and as of the end of March, we have bought policies for an amount of $1.2 billion representing 34% of the face value of the targeted policies. I’m now turning to Slide 14. Cash capital at the holding amounted to EUR2 billion at the end of the first quarter. The decrease from the beginning of the year of about EUR400 million was driven by the progress we have made on the ongoing share buyback program. Free cash flow during the period amounted to EUR14 million as remittances predominantly from the international businesses were partially offset by holding and funding and operating expenses. To remind you, we received the bulk of our remittances from the units in the second and fourth quarters. The remaining difference is largely explained by the net proceeds of the previously announced sale of Aegon’s business in India. We expect the current EUR1.535 billion share buyback program to be completed before the end of this quarter. As we are anticipating that our cash capital at holding will remain above the target range of EUR0.5 billion to EUR1.5 billion even after the payment of the dividends in the third quarter, we are announcing a planned new share buyback program of EUR200 million. This new program is expected to start at the beginning of July and to be completed by the end of 2024. Let’s now move to Slide 15, for a recap of where we stand relative to our financial targets. We are on a good path to achieve our financial targets for 2025. In April, we have called a EUR700 million Tier 2 security and have refinanced this with a $760 million senior unsecured note. This leaves our gross financial leverage relatively unchanged from the EUR5.1 billion at the end of the first quarter and at our target level. Operating capital generation before holding funding and operating expenses this quarter was impacted by seasonally higher claims experience but remains on-track for our guidance of around EUR1.1 billion in 2024, and on a path to achieve our target of around EUR1.2 billion in 2025. We remain confident in achieving our free cash flow guidance of more than EUR700 million in 2024 and our target of around EUR800 million in 2025 on the back of sustainable operating capital generation growth. Finally, the progress we are making on our strategic agenda gives us confidence that we can grow the dividend to our stated target of EUR0.40 per share over 2025. And with that, I hand the floor back to you Lard, for your concluding remarks.
Lard Friese: Thank you, Matt. And, let me recap today’s presentation with Slide #17. We had a good start to 2024. We’ve seen continued momentum in our strategic assets and we are making progress in reducing our exposure to financial assets in-line with our strategy. We remain laser focused on implementing our strategy and further improve the performance of our businesses. The transformation of Aegon has many chapters and we are just at the beginning of the next chapter to lead, to create leading businesses in investment protection and retirement solutions. I’m confident that we will deliver on our strategic commitments and on our financial targets. On Slide 18 of today’s presentation, I want to remind you that we will be hosting a webinar on the strategy of our UK business in the afternoon of June 25th. I look forward to your participation at this event. Information on how you can attend this event will be published on our corporate website in due course. Finally, and before we move to Q&A, I would like to say a few words about the other announcement we made this morning. First, I am delighted that Duncan Russell, our Chief Transformation Officer is stepping up to become our Chief Financial Officer. But, this is also a bittersweet moment as Matt Rider, our current CFO is transitioning into retirement at the end of August. I’ve had the privilege of working with Matt over many years and he has been a marvelous colleague, aspiring partner and a true confidant in the past four years since I rejoined Aegon. Matt is retiring after more than seven years of exceptional service as CFO of our company. At the same time, I’m happy we will benefit from Matt’s expertise beyond August as he will continue to serve as a Non-Executive Member of Transamerica’s Board. The transition between Matt and Duncan will be effective as of September 1, 2024. Matt will continue to assume the CFO responsibilities until that date, including external engagement with analysts and investors. With that, I would like now to open the call for your questions. Please limit yourself to two questions per person. Operator, please [lead our clients] (ph) to open the Q&A.
Operator: Thank you. [Operator Instructions] Thank you. We will now go to the first question. And your first question comes from the line of Iain Pearce from Exane BNP Paribas. Please go ahead.
Iain Pearce: Hi, good morning, everyone. Thanks for taking my questions. The first one was just if you could go through the normal sort of process of going through the normalized run rate for capital generation, that would be very useful, just going through the moving parts there? The second one was just on the earnings on in-force from the Financial Assets in the U.S. business. That was negative in this quarter. I’m guessing that’s just down to some elevated mortality and the seasonality that you would assume there. But what would you say the run rate to the earnings on imported in a normal quarter? If you could just sort of talk us through that as well, that’d be really useful? Thank you.
Lard Friese: Yes. Thanks, Iain. Two questions to Matt.
Matthew J. Rider: Yes. So, let me take the run rate first. So, for the quarter, we did EUR256 million and then to get to a normalized run rate you have to make a few adjustments. So, we had some unfavorable claims experience in the U.S. that amounted to EUR37 million, mostly as mortality claims experienced. As I said in the opening remarks, the actual to expected on morbidity was 102%, so that amounted to about $6 million. We also had some operating expense variances. So, I guess the first one is we had some favorable timing of expenses in the quarter. We would expect those, by the way, to unwind in the course of the year, but that was for about 21 million favorable. And then we had a higher than average or expected new business strain of about $16 million during the course of the quarter. So, those are the puts and takes. You also have to take into account some differences within the other businesses and Asset Management as Lard had mentioned. We did have a one-time good-guy expense thing in the AIFMC Chinese joint venture of about $17 million. And then we had some bad guys in China, mainly in international, of around $9 million. If you do all the puts and takes here, you get to a clean run rate of about EUR280 million, which puts us on track to get to the EUR1.1 billion by the end of the year.
Lard Friese: And earnings on in-force for Financial Assets?
Matthew J. Rider: Yes. Financial Assets are just going to be choppy. I mean, you are going to get that from time-to-time and there are various variances that are coming in. But in general, we’re looking at OCG guidance for the Financial Assets of around $200 million a year through kind of 2027.
Iain Pearce: Okay. Thank you.
Lard Friese: Thank you, Iain.
Operator: Thank you. We will now go to the next question. And your next question comes from the line of David Barma of Bank of America. Please go ahead.
David Barma: Good morning. Thank you for taking my questions. The first one is just a follow-up on OCG. So, you’re now tracking fairly in line with your yearly target. I would have expected higher equity markets, higher reinvestment rates, maybe a faster buyout in universal life as well to all be supportive this year and more supportive than we thought in the middle of last year. So, is there any reason that all of these items shouldn’t help you outperform the EUR1.1 billion target? I’m aware that the new business strain is going up, but is that the only factor offsetting the benefit the positive items? And then secondly, I have a question on Distribution risk in the U.S. please. So, we had a pickup in market concerns over insurance agent distribution practices in the last few months. So, could you share your thoughts in this context about the, such risks for WFG, please?
Lard Friese: Yes, David. Good morning. I’ll take the second one first and then we’ll go to your OCG. So, I’ll talk about the Distribution. We’re very pleased that we have WFG as a very strong and well-established distribution franchise as we aim to grow into the segment of middle-market America, so middle-market retail households. And, this is particularly the area where the 76,000 agents are focused on. It is a well-established sales force with licensed agents with strong compliance processes in place and practices in place. So, we are very pleased to have and proud to have that capability to underpin the growth that we aim to achieve in the life insurance business. Matt?
Matthew J. Rider: Yes. With respect to the market movement, so what I gave you before was sort of what’s a clean run rate for the first quarter of the year and it works out to be about EUR280 million. But what you’ve got going on is you had equity markets in the U.S. up about 10% in the first quarter of the year. So, that’s going to bode, we’ve got a little bit of tailwind behind us for performance throughout the balance of the year. And you might think something on the order of maybe EUR50 million round numbers for the benefit of that for the remainder of the year. So, maybe bake a little bit of that into your forecast, but it really depends on what equity markets do for the balance of the year. It still gets you to again, around EUR1.1 billion but you can do the math on it.
David Barma: Thank you. Lard, can I just follow-up on the first point? There’s also linked to distribution, but slightly different. There could be a new set of fiduciary standards coming into force later in the year for retirement products. What would be the implications for Transamerica if that were to come through?
Lard Friese: So, you’re talking about the Department of Labor, fiduciary rule, that’s what it’s called.
David Barma: Yes, exactly.
Lard Friese: How is it called in the colloquial language. Well, first of all, we are all in favor of appropriate and effective regulation around advice. At the same time, we also believe that regulation needs to always be balanced to ensure there’s proper access that clients can have to good advice. And this rule, it’s a 500 page document, so we’re still trailing through it and try to fully understand it. But where we are taken as we stand today is that we are very well-positioned to deal with this. We already have quite extensive practices in place and documentation practices in place. So, we need to adapt here and there some documentation and some processes, but nothing that we believe will have a material impact on our ongoing business or on our distribution company. I do want to remind you one thing though, David, I don’t know to what extent you’re familiar with that. Something similar was introduced in 2016 and was subsequently in court thrown out. And what we are observing since this rule came out a couple of weeks ago, 10 days ago is that indeed legal action like we saw in 2016 has started to commence already. So, we also need to evaluate whether depending on how that goes, whether this rule, if and when and how this rule will be indeed effect implemented. Let’s put it that way.
David Barma: Understood. Thank you.
Operator: Thank you. We will now take the next question. And your next question comes from the line of Farooq Hanif from JPMorgan. Please go ahead.
Farooq Hanif: Hi, everybody. And I hope you can hear me. I just want to say congratulations to both Matt and Duncan, please. But just two questions. Firstly, on the STOLI, the institutionally owned life policies, will there be an ambition to go beyond the 40% if you think there’s appetite for this? And what are your views on that? And the second question is on the choice of EUR200 million, is it just a number that you think is appropriate to get down to your cash target or what was the thought process around EUR200 million specifically? Thank you.
Lard Friese: Let me take well, we first will do the STOLI. Matt, with the STOLI first and then I’ll take the second.
Matthew J. Rider: Yes. So, brief recap. So, we set that ambition 40% of the targeted policies, the $7 billion face amount by the end of 2027. But, we’re already sitting at 34%, which is really good, right? So, we had invested about $700 million into the program. Currently, we’ve been able to recycle a lot of that. So, we’ve actually been able to purchase contracts worth about $1.2 billion so far. So, I would say it all depends on pricing. 40% is a, it’s a good ambition. We’ll look at it as we go forward, but we want to make sure that we get the good returns that we’re expecting out of this before we get ahead of our skis here. So, for right now, we’re going to keep the 40% target out there. We’ll see what the market gives us and we could go beyond that maybe, but right now we’re just making good progress.
Lard Friese: Yes. And, Farooq, very kind of you, your congratulations to Duncan and to Matt are well received. Thank you. On the share buyback, well, it derives from our capital management framework. Simply put, if there is surplus cash capital beyond what we need to execute on the transformation as a company and if we cannot invest it in value creating opportunities, then we will return it to shareholders in the most efficient form. This is our capital management mantra since the beginning of my tenure here. And we are, as you know, in the market with a EUR1.5 billion buyback. We are at the tail-end of that. We still need to do a little bit, but it’s going to be finished before the summer. We are above the target operating range for our cash position. So, and we’ve observed that it’s very likely that our cash position will still be above the range. So we said, okay, we evaluated and said that we’re announcing a new buyback program today of 200 million which we will complete by the end of until before the end of this year.
Farooq Hanif: And, may I just ask and I’ll understand if you don’t answer this, but what the nature of your conversation is with ASR about how they would like to progress going forward? So I mean, what would your preferred option be, if ASR decided, for example, to start its own share buyback program?
Lard Friese: First of all, I’m on the Board of ASR. So, any discussions that take place there is something that I think is not appropriate for me to comment on. But, I don’t know where you’re pertaining to the stake itself or what about any other comments around ASR and its own policies around this is something that I’ll leave to you also.
Farooq Hanif: Okay. I’ll take it offline. Thank you very much.
Lard Friese: Thank you.
Operator: Thank you. [Operator Instructions] We will now go to the next question. And, your next question comes from the line of Michael Huttner from Berenberg. Please go ahead.
Michael Huttner: Hi, there. Thank you. And, just like Farooq said, congratulations, Matt, and a very successful performance and also to Duncan to make it to CFO. I had two just like the others, Protection Solutions you seem to stress out a couple of times on growth. Can you say if you’re looking at deals and what kind of deals? What’s your thinking there? And then, I’ll go back to the question, which was about the operating capital generation, but I’ll say it more broadly. Normally, when you have a quarter, you kind of raise guidance of this target or that target for the one of the many targets you have. This time you haven’t raised any single target, which is I think that’s actually a one-off. Is there something in the background which is running more slowly or you’re more worried or you kind of think well actually Duncan can take the glory when it happens? I’d be interested. Thank you.
Lard Friese: Hey, Michael. Good morning. I see two gentlemen with a smile on their face. So, thank you for congratulating to them. And frankly, from my personal perspective, as you know, I know both gentlemen for a very long period of time and I couldn’t have wished for a more flawless transition quite frankly. So, when it comes to Protection Solutions, this is the segment that encompasses in the U.S. the life insurance and annuity business. We are growing that now a number of quarters already quite pronounced. And, in this quarter you could see an additional pattern of growth continuing. That is of course largely powered by our efforts to grow the licensed the professional sales agency that we have, which is now increased to 76,000 agents. We are aiming to do a couple of things here, increase the number to 200 and 10,000 in North America. Number 2, increasing the number of agents that sell multiple tickets and increasing as a result the overall growth of the platform. By the way, maybe good to note that once you want to evaluate the strength and the power of that platform, there’s two things that you need to look at, which is in the future, which is the Protection Solutions segment, which picks up the earnings on the manufacturing of the products and then the Distribution segment, which will now highlight the earnings that we are making as a distributor as well. So, I think it’s important to combine the two to appreciate the full attractiveness of that business. Separately, we are also of course having other distribution channels than WFG and we are focusing our efforts on that as well to continue to grow and make sure that in the annuity and life insurance product lines that we progress further. When it comes to the OCG, Matt?
Matthew J. Rider: Yes, Mike, I wouldn’t read anything into this. It is the first quarter of the year. We’re just off to a start. We just set the guidance out there in the fourth quarter. So, no, we’re not changing the guidance on the operating capital generation. Although I would say that perhaps the EUR200 million share buyback was partly unexpected in the first quarter. So, we’re maintaining, I think, good momentum on the capital generation side and obviously, returning capital to shareholders. So, I think we’re still in pretty good shape here. And by the way, Michael, thanks and Farooq, thanks for your kind words. I really do appreciate it.
Michael Huttner: May I ask a follow-up or not? The follow-up is very simply, did you look at the Manulife deal with RGA and is it something you could do?
Lard Friese: That’s what you’re referring to, Michael. Well, when it comes to M&A, we’re looking I mean, yes, we have taken note of that transaction. We actually try to follow the market in general on the transaction that’s happening. But of course, the number one focus that we have is on improving our businesses and being very disciplined capital allocators to make sure that we create value for stockholders. But, if we see opportunities and they present themselves then it’s always where opportunity meets discipline and where I look at what we are always evaluating is very strict financial and non-financial criteria, things like does it fit strategy, does it, are we ready to integrate and operationally ready to extract the value extract the value that it creates? And, will it really create value for our stockholders? So, focused on operating our businesses organically being very disciplined allocators of capital, but looking at opportunities when they arise, but we will evaluate those against very strict financial and non-financial criteria.
Michael Huttner: Super. Thank you so much.
Operator: Thank you. We will now go to the next question. And, your next question comes from the line of Nasib Ahmed from UBS. Please go ahead.
Nasib Ahmed: Perfect. Thank you. Thanks for taking my questions. So first of all, I mean similar to the others, thanks, Matt, for all you have over the years and congratulation Duncan, on the new role. Two questions, both on WFG. I’m trying to dig a little bit deeper on the responses. Firstly, if we look at the NAIC data on the company complaints index, TPLIC and TLIC, they’re 2x, 5x, the average. Is that something that you track, something that we should be tracking, something that you’re trying to get down in terms of the number of complaints that you’ve got there? And then on WFG, in terms of the contracts that the agents have with WFG, I think there’s two types of contracts that are typically, signed with agents in the U.S. Is WFG, does it have both types of contracts, one or the other? Thanks. Those are my two questions.
Lard Friese: Yes, Nasib, thank you very much. When it comes to complaint, I don’t quite understand what you’re referring to. When it comes to complaints, of course, we register complaints and look at them across our businesses and also in the United States. And, if you’re asking about the complaints and how they evolve vis-a-vis WFG and other distribution channels that we use, in fact, we’re seeing on a relative basis that the complaints we’re getting through the different distribution channels are low actually for WFG. So, if you compare for agents, it’s a very large agency sales force, but if I would compare on a relative basis, the number of complaints we’re receiving from our clients from WFG vis-a-vis other channels is actually relatively low. So, that’s one thing to bear in mind. And yes, we do track of course those things very carefully alongside many other things that we do. The second point is about the contract. So, WFG is an insurance agency. They are independent contractors that sign an agency agreement with WFG. They are not WFG employees. They work by the way, we are not a closed shop. It’s an open architecture platform. So, it means that they are selling our product, but they’re also selling products from many other insurance companies. So, I think it’s important to note that as well. I guess that’s what I can say on these contracts. That’s how it works.
Nasib Ahmed: Thanks a lot. Sorry, if I didn’t clarify the first question, I was more talking about the complaints data against insurance companies by NAIC. I think there’s a company complaints index, whereas, you’ve got both TLIC and TPLIC there. I’m not sure if that’s something that you track or you’re trying to get that.
Lard Friese: I think these are service level details. Is that correct, what you’re talking about? I think that’s what the monitor refers to. Let’s take this offline. We do measure service levels obviously through all our channels. And as I said, where it pertains to complaints, the WFG per agent complaints are relatively low.
Nasib Ahmed: Perfect. Thank you.
Operator: Thank you. We will now go to the next question. And, your next question comes from the line of [Jason Kalambosos from ING] (ph). Please go ahead.
Unidentified Analyst: Yes, good morning. I have to also congratulate, both Duncan for his new role, Matt, for his outstanding really help over the years, and also Matt for the smooth continuity transition. So, I’ve got a couple of quick questions for me. The one is why are you the best owner of WFG? If you can remind me, why do you need to own it? And a bit as a separate question, I mean, when you look at Primerica, it’s trading at a deal 13 times. They are at a low because of the bear article. So, wouldn’t it make sense at some stage to consider, even if you think you’re the best owner, that maybe at the end of the day, trading at such a higher multiple, you would be you would have a benefit that eventually decide to separate. And, the other thing was on the share buyback. I can see that there are things that you’re set to answer, but I’m coming back to the question that Farooq asked. You did announce I mean, it’s almost like you are preempting and you’re announcing a EUR200 million share buyback. You could have easily done that in August, where eventually, the EUR1.5 billion would have ended. What makes you a bit reluctant at this stage to actually do in August, for example, to have done an announcement for the full 12 months and also to reduce a bit of stay just at least to give an indication that that’s the direction. So, we’re not looking for any significant reduction, but you could have done a small one just to indicate the direction. If you could comment on that, that would be great? Thank you.
Lard Friese: Yes, Jason, thank you for your questions. And again, thank you very much for your kind words for Matt and to Duncan. Let’s start with the discussion around ASR. We’re happy holders of the Company’s stock. I mean, the stake allows us to benefit from what I would regard a unique synergy potential that this combination brings. So, in this state does not have a definite timeframe. We have said and we’re consistent in that and we maintain that view that in principle we will hold the stake until the ASR share price reflects the intrinsic value or until value creating opportunities present themselves that require the capital. So, we’re happy holders of the stock, And we’ve been consistently saying that. And let’s not forget that the integration process of the combination is at the early stage of it, given time. So again, we’re happy holders of the stock. When it comes to the share buyback, well, this is pretty simple actually. As I said before, we have a state of capital management policy. We take that policy seriously as we have demonstrated multiple times throughout the years. And, we’re nearly done with the tail-end of the EUR1.5 billion buyback, so that will be done before the summer. We looked at the cash capital position, which is nearly EUR2 billion right now. We said the total analysis that we did, etcetera, justifies that we stay true to our capital management policy and as a result we launch the buyback now and not in the half year. That’s basically, that’s where we didn’t see it was necessary to wait for the half year. That’s what I would like to say about that. Then on the WFG franchise, we are as I said very pleased with and privileged to be the owner of this business and it is absolutely critical to our Company’s objective. Transamerica aims to become to transform itself into the leading life insurance and retirement company for Middle America, Middle America retail households. And, this is an underserved market of 68 million households in the United States with a massive opportunity. And, we are privileged to have such a large capability in that area that will allow us to fulfill our strategic objective with Transamerica. And, the progress that we’re showing over the last couple of quarters is that we are progressing very well in our growth. So, we’re very pleased to have it. Now the good news is also that given the segmentation that we are now going to do, you will have more visibility on the power of this platform. It is not only, we’re not only generating value by manufacturing life insurance products and sell that through that massive Distribution platform, but also that Distribution platform is selling products from other companies and that generates distribution income for us. And, what you can see over the full-year 2023 is that the total earnings involved were 161 million. So, this is coming from a base of 37 million in 2020. So, think a little bit about this and try to, Jason. So in 2020, the earnings that we had at that time were 37 million in 2023, it’s 161 million and let’s not forget we’re growing that franchise and we’re selling more product through that franchise. So, we believe that the new segmentation will allow you to evaluate the progress that we’re making there and appreciate the value of this franchise as a whole. So, we believe we’re great owners of this. It is actually core to our mission of Transamerica’s growth in the United States. So, we’re pleased with that platform.
Unidentified Analyst: Many thanks. That was very clear.
Operator: Thank you. We will now take the next question. And, your next question is a follow-up from David Barma from Bank of America. Please go ahead.
David Barma: Hello again. Thanks for taking a follow-up question. I have two small ones. One just coming back on M&A, and I appreciate your comment, Matt, about strict financial discipline. But would you be able to talk a little bit about what you see as strategic for Aegon today when thinking about M&A? Is it more Distribution capabilities? Is it books of Retirement Plan assets? Is it Wealth Management or Asset Management? Are you able to talk a little bit about your preference in terms of business lines please?
Lard Friese: Core markets. The core markets, I mean, let me be simple about this. When we look at, we have been very clear about the markets that we focus on. So, when we talk about potential M&A opportunity, we would evaluate that to strengthen and accelerate our strategies in core markets.
David Barma: Right. Thank you.
Lard Friese: Sorry, I think you had maybe another question, right?
David Barma: Yes. Secondly, on new business strain, I don’t know if I’m missing something on this, but just can you remind us where the, what’s driving the new business strain increase? The sales in Individual Life don’t seem to have picked up that much in Q1. And, maybe more broadly, if you could just give us bit of color on what product lines are you’re particularly excited about for this year in terms of sales activity?
Lard Friese: On the exact detail of the business strain, I’m going to ask Matt. But, let me take you a little bit the product lines that we believe that we’re focusing on because we believe they’re very attractive. So, in the U.S, it’s again our index universal life product is making returns with an IRR is above 12%. So, it’s a profitable product line that we are growing and expanding, especially through the WFG franchise, but also other distribution channels. Then we look at annuities, especially what we call registered index linked annuities, which is a particular form of annuities that provide kind of a buffer on the downside while capping the upside, if you will. So, these are structured products. They are not annuities with high interest rate sensitive guarantees, but it is an annuity line that has a big demand in the U.S. marketplace that we’re capturing capitalizing upon that demand as well. Then on the Retirement side, in the U.S., it is Retirement Plans where we particularly focus on the middle market, so medium sized plans and pooled plans. There’s not many companies that have really the capability to also run plans in a pooled format in the U.S. we are one of those that are known for it and therefore we are capitalizing upon that opportunity. But obviously, if we can do a deal in the large market that is profitable and that we can get good fees for that we will also participate in that. What we’re also focusing very much on is, the participants in these pension plans in the U.S. where through ancillary products, the Stable Value solutions, particularly in IRAs, particularly we which are now $11 billion each, we aim to grow the profitability per plan participant. That is something that we’re focusing on. Then outside of the U.S., it’s really Brazil has been, I keep reminding everybody, Brazil has been a business for us that over the many years has a consistent track record of double-digit growth, profitable growth in protection life insurance products. The Workplace business in the UK is continuing to see very strong momentum. I think we’re now number three in flows, number four, in the market as a whole. And, I would say the Asset Management business is getting a reversal of momentum. We had a first bad year, bad half year in the first half year of 2023 that, you saw in the back-end of 2023 flows coming back and that persisted in the first quarter. But, if these kinds of product lines and I can go on if you will, but these kinds of product lines that really believe that we’re aiming to allocate a lot of resources and time and effort to increase our distribution progress and also increase the overall volumes. Matt, on new business strain?
Matthew J. Rider: Yes. For the U.S. new business strain was $192 million for the quarter, which is somewhat above our, what we’ve guided for about like $175 million for the quarter. But, we’re getting it in areas that we like. So, we’re basically getting it in the individual life insurance protection business, and we typically have a little bit higher new business strain in the first quarter of the year. So, we’re getting it in that area. We like that. We’re still able to maintain our pricing margins north of 12%. And then, the other area that we like is the Retirement Plans business where part of the big strategy for the U.S. business is to grow in what Lard called these ancillary businesses. General Account Stable Value is one, it’s basically a bank account that savers can use for Retirement Plans. But that we expect that to grow and indeed we have grown that about 8% from the prior year quarter to about $11.3 billion. And because we are growing that then it does require additional capital for that. But again, these are good things. This is very much according to plan.
David Barma: Thank you very much.
Operator: Thank you. We have time for one further question. And, we will now take the last question for today. And, the question comes from the line of Michael Huttner from Berenberg. Please go ahead.
Michael Huttner: I’m very lucky. Thank you very much. On U.S. mortality, so seasonality in Q1 maybe a touch higher than maybe the normal run rate. Can you give us your feeling about mortality going forward? And here, I think there are two strands, a thought one maybe less volatility because you brought back a big chunk institutional portfolio. But, also what I heard from a client two days ago, what about the new wonder drugs Novo Nordisk? Does it mean suddenly mortality? People live longer now?
Lard Friese: Yes. Let me pick that one up. So, indeed we did have unfavorable mortality in the quarter. It’s largely, it’s seasonality mostly. It did not come by the way from institutionally owned contracts or let’s say the life insurance contracts and the financial assets. It was just more from our traditional portfolio and a little bit in a variable universal life portfolio. I would call this normal claims fluctuation. Your specific question was around what do we expect in the future. And, that’s really kind of anybody’s guess. As we come out of COVID, we still expect to see maybe elevated mortality. People have not sought care during COVID. Perhaps we’re going to see some elevated claims for a period of time. But honestly, this is really just claims volatility in the first quarter mainly due to seasonality. As to the wonder drug, given my impending retirement here, I certainly hope so. But, I don’t know what that, but I don’t know obviously for sure.
Michael Huttner: Lovely. Thank you so much.
Operator: Thank you. I will now hand the call back to Yves Cormier for closing remarks.
Yves Cormier: Thank you, operator. This concludes today’s Q&A session. Should you have any remaining questions, please get in touch with us in Investor Relations. On behalf of Lard and Matt, I want to thank you for your attention. Thanks again, and have a good day.